Operator: Good day, everyone. Thank you for standing by. Welcome to Adeia's Fourth Quarter 2024 Earnings Conference Call. During today’s presentation, all parties will be in listen-only mode. Following the presentation the call will be open for questions. I would now like to turn the call over to Chris Chaney, Vice President of Investor Relations for Adeia. Chris, please go ahead.
Chris Chaney: Good afternoon, everyone. Thank you for joining us as we share with you details of our quarterly financial results. With me on the call today are Paul Davis, our President and CEO; and Keith Jones, our CFO. Paul will share with you some general observations regarding the quarter, and then Keith will give further details on our financial results and guidance. We will then conclude with a question-and-answer period. In addition to today's earnings release, there is an earnings presentation, which you can access along with the webcast in the IR portion of our website. Before turning the call over to Paul, I would like to provide a few reminders. First, today's discussion contains forward-looking statements that are predictions, projections or other statements about future events, which are based on management's current expectations and beliefs and therefore, subject to risks, uncertainties and changes in circumstances. For more information on the risks and uncertainties that could cause our actual results to differ materially from what we discuss today, please refer to the Risk Factors section in our SEC filings, including our Annual Report on Form 10-K and our Quarterly Report on Form 10-Q. Please note that the company does not intend to update or alter these forward-looking statements to reflect events or circumstances arising after this call. To enhance investors' understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We use non-GAAP financial measures internally to evaluate and manage our operations. We have, therefore, chosen to provide this information to enable you to perform comparisons of our operating results as we do internally. We have provided reconciliations of these non-GAAP measures to the most directly comparable GAAP measures in the earnings release, the earnings presentation and on the Investor Relations section of our website. A recording of this conference call will be made available on the Investor Relations website at adeia.com. Now, I'd like to turn the call over to our CEO, Paul Davis.
Paul Davis: Thank you, Chris, and thank you everyone, for joining us today. I'm pleased to share the progress we've made in the fourth quarter and throughout the year, highlighting the strength of our business and the opportunities ahead. We ended 2024 on a strong note with an excellent fourth quarter, driven by robust deal momentum and record financial results. Our fourth quarter revenue of $119.2 million and operating cash flow of $107.5 million were both post separation records. In addition, we generated adjusted EBITDA of $80.3 million and an operating margin of 67%. We signed 10 license agreements, including four new deals, which were diversified across OTT, consumer electronics, Pay-TV, e-commerce and semiconductors. With our record post separation cash flows, we were able to demonstrate the power of our business model and balanced capital allocation approach. We made accelerated payments towards our debt, reducing our balance by $50 million and bringing our debt balance to $487 million. We also initiated a stock buyback program in the fourth quarter, repurchasing $20 million of our common stock and we invested in the future of our business, closing $12 million in tuck-in IP acquisitions. Now let me turn to further details of our fourth quarter. In the fourth quarter, we signed 10 deals, nine in media and one in semiconductor. Adding new customers is critical to sustaining long-term growth, and we are proud to have signed three new customers for our media portfolio and one new semiconductor customer during the quarter. With its large and growing subscriber base, the OTT market is one of our primary areas of focus as we further expand our media IP portfolio. One of our significant new deals in the quarter was a multiyear license agreement with Amazon, a top three OTT provider. This deal underscores our ability to deliver value and capitalize on the significant opportunity that exists in OTT. As we noted at the time of separation from Xperi, we believed OTT could be a significant driver of value for Adeia on a stand-alone basis and one that we otherwise were not able to unlock as a combined company. The success we achieved with Amazon is a great proof point of this objective. Driven by OTT, our new media revenue increased 65% year-over-year. We also welcomed Canon, as a new media customer, which was a great validation of the value of the imaging IP in our media portfolio. We see more opportunities like Canon on the horizon, where our imaging IP is becoming increasingly important in areas such as consumer electronics and social media. As we noted on our last earnings call, early in the fourth quarter we signed a license-agreement with e-commerce customer, Neiman Marcus, for access to our media portfolio. E-commerce is a key adjacent media market for us over the next several years, and we have seen a tremendous expansion of our customer pipeline over the past year. We were also very pleased to have renewed our agreements with both Roku and Sharp during the fourth quarter, further strengthening our well-established position in consumer electronics. Over 90% of our customers renew their license agreements with us, in part due to our commitment to maintaining long-term relationships and our investments aimed at growing our portfolios with innovations our customers value. We are proud that we have had long-standing relationships with many of our customers, including some relationships that span over 25 years like Sharp. The consumer electronics market continues to be a solid revenue contributor year-over-year with mid-single digit growth, and we expect to see modest growth in the future as it remains a consistent performer for our business. Our fourth quarter deals with industry leaders like Roku, Amazon and Sharp validate our position as a leader in foundational technology for digital entertainment. These deals underscore how our innovations are helping shape the digital landscape and continuing to power the seamless, high-quality experiences consumers expect as TVs have evolved from simple display devices into connected entertainment hubs. In our semiconductor business, we signed a technology transfer agreement with a new customer that showcases the industry's continued recognition of our hybrid bonding technology as a critical enabler for high-performance semiconductor devices. It is worth noting that this deal came together quickly following our presentation at an industry conference, providing further validation that our deep involvement in our ecosystems pays dividends. Now let me turn to a few highlights for the full year. Looking at the full year, 2024 was marked by significant milestones. We signed 32 agreements, including notable wins with Amazon, LG Electronics, Roku, Liberty Global, Canon, Panasonic, Sharp, VIZIO, Neiman Marcus, X Corp and Hamamatsu. New customers are the foundation for our future growth, and I'm immensely proud of our team for successfully signing license agreements with multiple new customers across OTT, Pay-TV, semiconductors, consumer electronics and e-commerce last year. For the full-year, we delivered $376 million in revenue, with a 62% operating margin. Cash flows from operations were $212.5 million, and our adjusted EBITDA was $234.3 million. Debt reduction remains one of our top priorities. And last year, we paid down $114.2 million of our debt. Since separation, we have paid down $272.3 million, a tremendous achievement in just over two years. Hybrid bonding was a key driver for each of the four semiconductor deals we signed in 2024. We anticipate future success driven by our hybrid bonding technology. Industry announcements regarding upcoming products and architectures reaffirm that hybrid bonding is becoming a critical capability for future variants of high bandwidth memory, NAND flash and logic devices. For example, a growing number of logic companies have announced new chiplet architectures such as Intel and Broadcom, utilizing hybrid bonding. As we continue to advance our strategy in OTT, we remain focused on protecting our intellectual property. In the fourth quarter of 2024, we initiated litigation against Disney across multiple jurisdictions, including the U.S., Europe and Brazil for infringing our patents. Disney is a top three OTT provider, and our goal remains to negotiate a fair and mutually beneficial commercial license. While we are committed to pursuing a resolution, we are prepared to see the legal process through to its conclusion to safeguard our IP rights, which could take several years. We are confident in our position and believe this process will ultimately further validate the value of our innovations in the OTT ecosystem. The strength and quality of our IP portfolios provide the foundation for our future licensing success. At Adeia, one of our differentiators is our strategically focused R&D. Last year, our portfolios grew a combined 12%, which was balanced with double-digit growth in both our media and semiconductor portfolios. But portfolio growth alone is not our primary goal. Rather, we aim to focus our growth on the evolving needs of the media and semiconductor markets we serve. We also look to maintain and enhance the quality of our constantly evolving portfolios which is vital to both renewals and new customers. Over 85% of our patent assets are generated organically through our R&D efforts. But we also augment our internal growth through actively searching for patent assets we believe will accelerate our growth opportunities. In 2024, we acquired five portfolios for approximately $20 million. Four of those portfolios were focused on OTT and one was in broadband connectivity. Our most recent acquisition, which closed in the fourth quarter, focused on a unique portfolio of OTT content delivery IP. We believe future revenue growth will be driven by our continued strong track record of renewals and importantly, signing license agreements with new customers in our key growth markets. In media, we expect anticipated declines in Pay-TV will be offset by growth in OTT and new wins in adjacent media markets such as e-commerce, ad tech and gaming. In our semiconductor business, we expect revenue from our volume based customers using hybrid bonding for their new products will increase over time and new opportunities in logic will provide accelerated growth. We are making great progress in expanding our recurring revenue stream in our growth markets with a total year-over-year recurring revenue increase of 18% in our non-Pay-TV verticals. Given the work we did in 2024 to expand our pipeline and our expectations for progress in 2025, we believe we can continue to grow our recurring revenue, and we have multiple paths to achieve our revenue targets for this year. Being actively involved in the media and semiconductor ecosystems plays an important role in defining our IP and business development strategy and keeping us close to the latest industry trends. We are increasingly recognized for the innovative new ideas we bring to the table and the value these contributions have to the broader ecosystem. We were recognized last year at the Electronic Components and Technology Conference, winning the Best Paper Award, which was on hybrid bonding. And our recent double gold medal win in the Merit Automotive Awards signals an exciting expansion of our technology portfolio in new frontiers. We are pleased to again be ranked in the top 75 in the world for the number of U.S. patents issued in 2024, with 597 patents granted to us. And again, we ranked above many other well-known innovative companies such as NVIDIA, Broadcom, AMD, InterDigital, Comcast, Meta, HP and Verizon. Our balanced capital allocation approach, supported by our strong cash generation allows us to continue reducing debt, repurchasing shares and investing in growth. Based on our pipeline and visibility into renewals and new customer additions, we anticipate revenue growth in the mid-to-high single digits in 2025. We are excited about the opportunities ahead and confident in our ability to deliver long-term value to our shareholders. With that, I'll now turn the call over to Keith for a detailed review of our financial results and outlook. Keith?
Keith Jones: Thank you, Paul. I'm pleased to be speaking with you today to share details of our fourth quarter 2024 financial results. In the fourth quarter, we delivered revenue of $119.2 million, driven by the execution of 10 deals across a broad variety of verticals, including OTT, consumer electronics, Pay-TV, e-commerce and semiconductor. Our deal performance this quarter includes four new deals, including exciting new wins with Amazon, Canon and Neiman Marcus. We are extremely excited with these new additions to our growing customer count as new logos are a catalyst in driving our long-term growth objectives. Now I'd like to discuss our operating expenses, for which I will be referring to non-GAAP numbers only. During the fourth quarter, operating expenses were $39.4 million, an increase of $4.1 million or 12% from the prior quarter. Research and development expenses were $14.9 million, an increase of $1.2 million or 9% from the prior quarter, primarily due to certain patent portfolio development costs and due to increased personnel costs as a result of expanding our R&D teams. This investment shows our commitment to innovation as enhancing and growing our IP portfolios is crucial to both signing renewals and new customers. Selling, general and administrative expenses increased $1.7 million or 9% from the prior quarter, primarily due to higher legal and other outside services related to supporting our media and semiconductor sales efforts. Litigation expense was $3.8 million, an increase of $1.2 million or 44% compared to the prior quarter, primarily due to the timing of expenses related to certain legal matters, including our recent suit against Disney and due to ongoing litigation with several Canadian Pay-TV operators. Interest expense during the fourth quarter was $12.3 million a decrease of $448,000 from the prior quarter due to our continued debt payments and the benefit of a lower interest rate. Our effective interest rate in the fourth quarter was 8.9%, which includes amortization of debt issuance costs. Year-over-year, our quarterly interest expense decreased $3.1 million due to continued accelerated debt payments and the benefit of a lower interest rate. Going forward, we expect to see further benefits from a lower interest rate as we once again successfully repriced our term loan in January of this year, whereby we further reduced our interest rate by an additional 50 basis points, bringing our current interest rate to SOFR plus 250 basis points. This represents a cumulative 111 basis points reduction in the fixed portion of our interest rate over the past nine months. Other income was $1.3 million and was primarily related to interest earned on our cash and investment portfolio and due to interest income recognized on revenue agreements with long-term billing structures. Our adjusted EBITDA for the fourth quarter was $80.3 million, reflecting an adjusted EBITDA margin of 67%. Depreciation expense for the fourth quarter was $522,000. Our non-GAAP income tax rate remained at 23% for the quarter. Our income tax expense consists primarily of federal and state domestic taxes as well as Korean withholding taxes. Now for a few details on the balance sheet. We ended the fourth quarter with $110.4 million in cash, cash equivalents and marketable securities and generated $107.5 million in cash from operations, representing a post-separation record. Operationally, the fourth quarter has historically been a very strong cash generation quarter for us, driven by the contractual billing structures of certain license agreements. The fourth quarter of 2024 was further boosted by not only strong deal momentum in the period, but also due to receiving certain advanced payments from several of our customers. With this strong financial performance, we were able to execute on all areas of our balanced capital allocation approach which we highlighted during last quarter's earnings call. This included making $50 million in principal payments on our debt in the fourth quarter, as we ended the quarter with a term loan balance of $487.1 million. During the fourth quarter, we repurchased 1.4 million shares of our common stock for $20 million. And with a strong Q1 2025 cash generation outlook, we have already executed an additional stock buyback in the first quarter, repurchasing an additional 760,000 shares of our common stock for $10 million. During the fourth quarter, we paid a cash dividend of $0.05 per share of common stock. Our Board also approved a payment of another $0.05 per share dividend to be paid on March 31 to shareholders of record as of March 10. M&A has been and will continue to be an operational priority for us, as we expand and grow our existing patent portfolio to address evolving technology trends. We augmented our internal R&D efforts through making several strategic tuck-in patent acquisitions. During the fourth quarter, we acquired patent portfolios associated with OTT and broadband connectivity for a total of $12 million. I would like to also highlight even with all the capital allocation efforts in the quarter, we were able to increase our overall cash and investment position. Now I'll go over guidance for the full year 2025. We expect revenue to be in the range of $390 million to $430 million. This guidance includes the significant semiconductor deal we noted last year. As a reminder, our agreements tend to be relatively large and complex, which creates volatility from period-to-period. Overall, we see the first half of the year and the second half of the year being relatively equal. However, our first half could see fluctuations in that period due to the timing of certain agreements. A notable component of our revenue outlook is its overall stability. The foundation of our revenue is very solid as approximately 80% of our revenue outlook is driven by the backlog of existing contract agreements, which is a consistent profile as in prior years. Operating expenses are expected to be in the range of $166 million to $174 million. We anticipate modest single-digit growth for both research and development, as well as selling and general and administrative expenses from the current run rate as we continue to invest in both technology expansion as well as people and processes. We anticipate that our litigation expense will approximately double driven by our recent litigation filings with Disney as well as our ongoing litigation with several Canadian Pay-TV operators. We expect interest expense to be in the range of $41 million to $43 million. This reflects the impact of the debt repricing we completed in January. However, our guidance does not contemplate the impact of any potential further interest rate changes issued by the Federal Reserve. We expect other income to be in the range of $4 million to $4.5 million. We expect a resulting adjusted EBITDA margin of approximately 59%. We expect the non-GAAP tax rate to remain consistent at roughly 23% for the full year. We also expect capital expenditures to be approximately $1 million for the full year. Looking back at our performance in 2024, I'm extremely proud of our team and what we accomplished. We made tremendous progress engaging and closing deals with new customers such as Amazon. We have expanded our pipeline with new opportunities in our growth verticals such as OTT, e-commerce and semiconductor. Our financial performance driven by record cash flow, debt reduction, expense management and return of capital to shareholders has been outstanding. Our future is bright and our outlook is strong. With the strides that we made in 2024 and since separation, I'm greatly encouraged and excited that we can continue this momentum into 2025 and beyond. That brings an end to our prepared remarks. And with that, I'd like to turn the call over to the operator to begin our question-and-answer session. Operator?
Operator: Thank you. [Operator Instructions] We'll take the first question from Madison de Paola, Rosenblatt Securities.
Madison De Paola : Hi, guys. Thanks for taking my question and congrats on the great results. I was just wondering regarding the revenue guidance, could you provide any more detail on what key assumptions will drive the low and the high end of that outlook?
Keith Jones : Hi, Maddie, great talking to you. Great question. In terms of our guidance that we look, we, Paul and I really wanted to be kind of thoughtful in how we kind of laid things out. So our pipeline is incredibly strong. We made some really great momentum that you can see by the number of deals that we closed at the end of the year, we see that momentum keeping up. One of the things about our business, it is really, really focused on discipline. And so with that being said, getting the proper economics is really what is most important to us. And with that being said, you could have some volatility in terms of the timing when deals get signed. The pipeline remains strong. We remain very confident in executing on that pipeline. So when you take a look at the midpoint, that's kind of really what we shoot to. But we want to be a little bit realistic in terms of being patient. And what you are seeing at the lower end is the possibility of us taking a little bit longer and holding to our point and trying to get to the lower end of the guidance and getting -- I'm sorry, getting the deal economics that we really desire. So the high-end of the guidance is things executing at the velocity what we kind of witnessed at the end of Q4 and maybe seeing some further progress on that. So we are very excited. Everything that we've put and we modeled are things that we have clear line of sight today. So we're very excited about the outlook for that. And once again, what you're seeing is just continued momentum of our success in our business.
Madison De Paola: Okay, great. Yeah, thank you so much for taking my question.
Operator: Next up, we'll hear from Hamed Khorsand, BWS Financial.
Hamed Khorsand: So first off, could you just talk about the semiconductor transfer agreement because transfer usually doesn't mean any sort of a cash or licensing.
Paul Davis : Hi, Hamed, this is Paul Davis. Yes, absolutely. So this is a deal that, as I noted on the call, that we're really happy with. It came together towards the end of the year. We were at a conference in the middle of the year and they approached us. It's a technology transfer agreement. And so that's part of our semiconductor business where we will not only provide a license to our patent portfolio, but also provide know-how and engineering hours for a customer to really get them up to speed. This particular customer is focused on really high performance imaging and detection systems. They have their own cutting-edge silicon that they work on and so wanted to have hybrid bonding as part of their offerings. And so us -- our engineering team being able to work with them is critical. So it is not a transfer in the sense of from a value standpoint, we certainly do get value and cash from the technology transfer part of our agreements, generally speaking, with those types of deals.
Hamed Khorsand: Okay. And then my follow-up was, is there any update as to how real possibility it is for you to get the semiconductor deal signed because now you're saying Q1 – first-half and second-half might equal the same, but Q1 and Q2 might be lumpy. So I'm assuming the semiconductor deal is still very questionable.
Paul Davis : Yes, Hamed, like you know and you've talked to us, these deals are very large. They're complex. They take time getting them right. And sometimes we do have a push out in time to make sure we get the right economics. We're still very much engaged with this customer. And we feel very strongly about the value of our IP and how it's relevant to that customer. So we still -- it's still very much in our line of sights and our goal for this year to get it done. And then there was a pushout, you're right, from last year and that happens from time to time. But it's something that we're still very optimistic about.
Hamed Khorsand: Okay, great. Thank you.
Paul Davis : You’re welcome.
Operator: Our next question will come from Matthew Galinko, Maxim Group.
Matthew Galinko : Hi, good afternoon. Thanks for taking my question. I think you mentioned 4 IP portfolio acquisitions in 2024, including one in the fourth quarter. Can you talk a little bit more about the pipeline and maybe where those portfolios are coming from? Are they kind of operating company portfolios that are just being monetized? Are they IP portfolios that have been passed around kind of nonoperating type companies? Sort of can you talk about the origins of some of these and what you're seeing as far as opportunities?
Paul Davis : Yes. Absolutely, Matt. We actually did five patent portfolio acquisitions in 2024 and really with a focus again on OTT and broadband connectivity. The sourcing of the deals have come from public companies, private companies that are smaller, might need funding and that we have evaluated in terms of being very excited about the IP and being a fit within our existing R&D efforts. And so it is really a broad source of different ways they come to us. Our corporate development team is -- does outreach and knows people in the industry and also sometimes brokers that come and approach us as well. But we try to really source and be known as a buyer of IP that can move quickly and evaluate the IP and acquire portfolios from a variety of different folks, and that's where these have come from.
Matthew Galinko : All right. Thank you. And I guess the follow-up to that question is, how do you evaluate them against the opportunities that you have on the licensing side? Do you -- can you draw like almost like a direct link to what you have in the pipeline to how that might accelerate opportunities in the pipeline? Or is that a little bit more amorphous and you see future opportunities to bring them into deals, but it's not something that you see happening in a six-month period?
Paul Davis : Yes. It is a great question, Matt. We start with making sure we have clear alignment between our business units and the corporate development team on the strategies that we are focused on. Our growth strategies remain the same, which is semiconductors, OTT and the media adjacent markets. So we start with those categories of where we could add to the portfolios through acquisitions and really target specific areas then within that subcategories where we identify gaps in our existing portfolio that we might have, where we could really augment and accelerate those growth opportunities. And so OTT was certainly an area as we really tried to focus on getting those deals done. Amazon is a great example of that and then also the Disney litigation that we filed are proof-points of our belief in both our organic and our inorganic patent portfolios that we have. You'll also note, though that we expanded into broadband connectivity, and we acquired a portfolio related to that. And that might be an area we haven't really talked much about before. But if you think about our existing customers, especially around Pay-TV and their businesses and what they're focused on, that's a key area for them and a key revenue stream for them. It is one that we have been organically working on now for the past several years, and we saw an opportunity to add to our portfolio there as well.
Matthew Galinko : Thank you. And if I may get one additional question in, just on the balance sheet. You've done a lot of work on getting debt-off the balance sheet. So perhaps do you have a target -- any sort of target ratios you have in mind? Or how much debt are you comfortable holding before you kind of slow down on the -- on retiring debt? Or is that sort of -- as you get there approach?
Keith Jones : That's a great question, Matt. When you take a look at where we started in our journey, we made tremendous progress, as Paul noted, paying down over $270 million in debt and really deleveraging our balance sheet. And then lo and behold, our cash is up from where we started. That's a heck of an effort. As we continue to make progress, we see our year-over-year interest expense coming down significantly. If you take a look at the guidance that we provided, if you look at from our first year in '23 to what we're guiding for '25, you're looking at $20 million in interest expense reduction, and that's real savings. And being sub $500 million in debt is something that we take pride in. And when we take a look at our model and the strength and the opportunities that we have, that's something that Paul and I talk about quite a bit. There is a number out there in terms of debt that we are comfortable carrying. If we take a look at some of our forward-looking EBITDA that we have, in particular, in the next couple of years or so -- I think we'd be in somewhat of a comfortable spot of kind of carrying a fixed debt component and then really using that extra cash flow to really reinvest in the business and return capital to shareholders. So it's a great question. It's something that we spend a lot of time focusing on. You can see through the repricing, managing the balance sheet is something that we spend a lot of time, and I think we've made some great progress in 2025 -- 2024 and 2025.
Matthew Galinko: Thank you.
Operator: And everyone, at this time, there are no further questions, I'd like to hand the call back to Mr. Paul Davis for any additional or closing remarks.
Paul Davis : Thank you, operator. I want to thank our employees for a successful 2024 and for their steadfast commitment to achieving our goals. In March, we will be participating in the Loop Capital Investor Conference and the ROTH Capital Annual Conference. We look forward to seeing you at these and other investor events and updating you on our progress. Thank you for joining us today.
Operator: Once again, everyone that does conclude today's conference. We would like to thank you all for your participation. You may now disconnect.